Operator: Good afternoon, everyone, and welcome to the Xtant Medical's First Quarter 2025 Financial Results. At this time, all participants are in a listen-only mode, and the floor will be open for questions following the presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Brett Maas of Hayden Investor Relations. Brett, the floor is yours.
Brett Maas: Thank you, operator. Joining me today is Sean Browne, President and Chief Executive Officer; and Scott Neils, Chief Financial Officer. Today's call is being webcast, and will be posted on the company's website for playback. During the course of this call, management may make certain forward-looking statements regarding future events and the company's expected future performance. These forward-looking statements reflect Xtant's current perspective on existing trends and information that can be identified such words as expect, plan, will, may, anticipate, believe, should, intend and other words with similar meaning. Such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those noted in the Risk Factors section of the company's annual report on Form 10-K filed with the SEC and in subsequent SEC reports and press releases. Actual results may differ materially. The company's financial results press release and today's discussion include certain non-GAAP financial measures. Please refer to the non-GAAP to GAAP reconciliations, which appear in our press release and are otherwise available on our website. Note that our Form 8-K filed with our financial results press release provides a detailed narrative that describes our use of such measures. For the brief - I'm sorry, for the benefit of those who may be listening to the replay, this call was held and recorded on May 12 at approximately 4:30 p.m. Eastern Time. The company declines any obligation to update its forward-looking statements except as required by applicable law. Now I'd like to turn the call over to Sean Browne. Sean, the floor is yours.
Sean Browne: Thank you, Brett, and good afternoon, everyone. I'm pleased to share that Xtant Medical, delivered outstanding results for the first quarter of 2025. We achieved strong top and bottom line performance, across every key financial metric. Starting with our top line revenue growth of 18%, reaching $32.9 million in total revenue, this robust performance, coupled with our cost-cutting efforts over the last six months, resulted in strong adjusted EBITDA and positive net income. From a shareholder perspective, we reached a significant milestone, with the termination of a very restrictive investor rights agreement with OrbiMed. This agreement has long been a constraint, and its removal marks a new chapter for Xtant. We are encouraged by the continued investment in our business, by our new major investor, Nantahala, and I appreciate their belief in our current business strategy, which we believe will be beneficial to all shareholders in the long term. As some of you may notice, we filed a Form S-1 resale registration statement this afternoon, registering the resale of the shares sold by OrbiMed, to a group of investors led by Nantahala, which we agreed to do to facilitate this transaction. Note that no new shares are being issued by Xtant pursuant to this registration. Again, I want to emphasize that no new shares, are being issued by Xtant pursuant to this registration. So getting back to the business, and from a strategic perspective, we have reached a major inflection point, the full vertical integration of our previously outsourced biologics products. This endeavor, which we have been driving towards for the last 18 months, is now complete. All major biologics product categories sold by Xtant are now manufactured in-house. With this achievement, we believe Xtant is now the most diversified, vertically integrated biologics company in the market. In addition, we have rejuvenated our core demineralized bone offerings, with the launch of two new innovative products, Trivium and FibreX. Trivium is a groundbreaking new DBM offering, with three synergistic elements designed to deliver exceptional performance in structure, handling and biological activity. These new DBM products alongside our 3Demin, provide surgeons with a comprehensive range of bone grafting solutions. These new product launches, are expected to help offset the impact of product rationalization, following our Surgalign acquisition and drive renewed growth. Another noteworthy development this quarter, was the receipt of royalties tied to licensing our SimpliMax Q code, to a distributor in the chronic wound care space. Additionally, CMS has extended the local coverage determination for skin substitutes, to December 31, 2025, which opens the door for additional royalty income and cash generation, during the second half of 2025. However, we remain realistic given the ongoing changes to CMS policy, and other governmental cost savings initiatives, which we factored into our guidance for the year. Lastly, to support our growing production needs, we added additional processing capacity this past month at our Belgrade facility. This addition, will enable substantial future increases in our production capacity as needed. Coupled with our R&D investments, we have a strong pipeline of new orthobiologics and biologics beyond spine, positioning Xtant as a broader, more versatile regenerative biologics company for the future. Looking ahead to 2025. In 2025, we remain focused on our path towards self-sustainability, emphasizing profitability and cash generation. With new products launched, targeted growth opportunities, and recent cost-cutting initiatives, we are on a path to a sustainably cash flowing position. For fiscal year 2025, we anticipate mid-double-digit revenue growth in our biologics product family, while hardware revenue is expected, to remain flat to modestly down year-over-year. In hardware, we continue to rationalize our product lines to streamline our offerings, and optimize cash management. Today, we are increasing our full year 2025 guidance, for total revenue in the range of $127 million to $131 million, representing 8% to 11% growth. Combined with our targeted cost savings, we do not anticipate the need to raise additional capital at this time. With that, I will turn the call over to Scott, for a more detailed review of our financial results.
Scott Neils: Thank you, Sean, and good afternoon, everyone. Total revenue for the first quarter of 2025 was $32.9 million, compared to $27.9 million for the same period in 2024. The 18% increase, is attributed primarily to year-over-year growth in our biologics product family, exclusive of the impact of $3.6 million of licensing revenue, during the first quarter of 2025. This increase was partially offset by a 10% or $1.2 million year-over-year decline in spinal implant sales. I'll note here that we received a $1.5 million upfront payment during Q1, in connection with the manufacturing license agreement, for our SimpliGraft product. This amount will be recognized over the course of the contract's two-year term. We recognized approximately $100,000 during the quarter ended May 30 or March 31, 2025, and anticipate recognizing a total of approximately $700,000 during 2025, which is reflected in the revised revenue guidance for 2025. Gross margin for the first quarter of 2025 was 61.5%, compared to 62.1% for the same period in 2024. An increase in charges related to the disposal of inventory, and provision for excess and obsolete inventory, adversely affected gross margin by 400 basis points in the first quarter of 2025, compared to the same period in 2024. This effect was partially offset by reductions in product costs, associated with the vertical integration of our biologics products, resulting in a 390 basis point improvement in the first quarter of 2025, compared to the same period in 2024. First quarter 2025 operating expenses were $19.2 million, compared to $20.8 million in the same period a year ago. As a percentage of total revenue, operating expenses were 58.3%, compared to 74.5% in the same period a year ago. General and administrative expenses, were $7.5 million for the three months ended March 31, 2025, compared to $7.8 million for the same period in 2024. This decrease is primarily attributable, to $0.4 million of reductions in professional fees. Sales and marketing expenses, were $11.2 million for the three months ended March 31, 2025, compared to $12.5 million for the same quarter last year. This decrease is primarily due to reduced commission expense of $0.8 million, resulting in a shift from sales mix, and $0.7 million in reduced compensation expense related to headcount, partially offset by additional professional fees of $0.4 million. Research and development expenses, were $443,000 for the three months ended March 31, 2025, a decrease from $527,000 in the first quarter of 2024. Net income in the first quarter of 2025, was $58,000 or $0.00 per share, compared to a net loss of $4.4 million, or $0.03 per share in the comparable 2024 period. Adjusted EBITDA for the first quarter of 2024, or for the first quarter of 2025 was $3 million, compared to an adjusted EBITDA loss of $1 million, for the same period in 2024. As we noted during last quarter's earnings call, beginning in the fourth quarter of 2024, we are no longer including the phasing of bargain purchase gain, on our sell-through of inventory acquired as part of our purchase of, Surgalign Holdings hardware and biologics business in our calculation of adjusted EBITDA. Prior periods have been recast, to conform to the current calculation. The related effect on adjusted EBITDA was a reduction of $1 million in the first quarter of 2024, to arrive at the recast amount. As of March 31, 2025, we had $5.4 million of cash, cash equivalents and restricted cash. Net accounts receivable was $23.5 million. Inventory was $38.8 million, and we had $5.7 million available on our revolving credit facilities, as of the end of the quarter. Operator, you may now open the line for questions.
Operator: Thank you very much. [Operator Instructions] Thank you. Your first question is coming from Chase Knickerbocker of Craig-Hallum. Chase, your line is live.
Chase Knickerbocker: Good afternoon, guys. Thanks for taking the questions.
Sean Browne: Hi Chase, how are you?
Chase Knickerbocker: Hi, Sean. Just first from us. If we take a look at your guidance, can you let us know what you assume for incremental minimum payments, royalties, et cetera, from those two amnio deals? What are you assuming for the rest of the year, as far as those payments go?
Sean Browne: Yes. Scott, I'm going to throw that over to you. Scott, why don't you field that one?
Scott Neils: Sure. I guess in the spirit of being conservative, we haven't included anything in way of additional minimums, under the royalty agreement. And then, we've assumed full manufacturing under the manufacturing license agreement, for the remainder of 2025.
Chase Knickerbocker: And so does that mean that your guidance, just assumes that revenue recognition from that upfront payment?
Scott Neils: The upfront payment, we had originally assumed based off of the original April LCD date that, we would be able to recognize that in full during Q1. However, with the extension of that, that's being spaced out over two years now. So we cut that number in half, that $1.5 million to the tune of about $700,000 flowing through during 2025.
Chase Knickerbocker: Got it. But with LCD getting pushed, there's no reason to not assume that, those minimums will be realized this year?
Sean Browne: What we're trying to do here at least - and this is also guidance from our Board, is that we're very concerned about what may happen from a government perspective. So I guess we could put it out there, this is what we think will happen, but we're afraid that we're going to have to pull that back then not long after that. So what we're trying to do, is be as realistic as possible, with respect to what those royalties may mean for us.
Chase Knickerbocker: Got it. And then just on the biologics side of the business, can you walk us through the different drivers for growth in the quarter? What kind of - what portion of growth was driven by VBM, amnio kind of legacy portfolio?
Sean Browne: Sure. So the big drivers for us still are - well, amnio is a nice driver for us, because of the fact that it went to April 13. So that was a big one, because we do have a couple of OEM deals that, are out there that we still work today. Also, VBM was also very good for us. That is one that will continue to grow over the course of the year. That was primarily driven actually by Xtant product, not as much OEM. But we do see some growth in that, that will hopefully - not even hopefully, that will offset some of the product rationalization that, we're going to continue to see on the hardware side. So the idea of us carrying four different medical screw systems, we're just not going to do that, right? So we're really working hard at trying to sunset, a couple of those like big expensive cash - eating up type systems, and push our customers over - our surgeons over to our new Cortera line, for instance. And so, so we see that there's going to be some bumps along the way. But from a net business, and a net cash perspective, we're going to be in a better spot with really focusing on Cortera, and maybe one other system. So that's essentially what's happening on the biologics side, and the hardware side I guess.
Chase Knickerbocker: And how should we think about growth factor, for the year here? I mean, is that going to be something where it's internal Xtant distribution, will there be any white label there? And then, I mean, what's the kind of ramp to being fairly full kind of production, full supply?
Sean Browne: Sure. So our focus right now with the growth factor product, is keep what we have, right? Because this is a very - it's a beautiful product that we just created, and it's one that we are really excited about, and we are going to be replacing it with a product that, we used to buy from someone else. And so job one, let's make sure we don't lose any business. But then job two, where do we have, and our funnel looks really good moving forward. But again, we want to be cautious by - listen, we got roughly $6.5 million of growth factor business today that we want to make sure that we don't lose. And then, let's grow from there. And so that's essentially what our plan, is with growth factor.
Chase Knickerbocker: Got it. And just last from me, Scott. How should we be thinking about EBITDA, and cash flow through the rest of the year? And what do you guys kind of assume, from a working capital perspective? I've seen that kind of receivable increase in Q1, as far as when you'll kind of realize that in cash flow?
Scott Neils: Yes. The cash flow will come in Q2. I think we'll have cash flow from operations in Q2, will be a little tighter on cash flows from operations in Q3, and then I think, we'll build to a healthy cash flow from operations in Q4. I think we'll see a fairly steady revenue growth during the remainder of the year. Actually, I would expect that revenue during the course of Q2, exclusive of any royalty revenues coming in, will probably be more in line with Q1. And then, we'll probably continue to grow that at high single-digits, for the rest of the year quarter-over-quarter.
Chase Knickerbocker: Very helpful. Thanks guys.
Operator: Thank you very much. And your next question is coming from Ryan Zimmerman of BTIG. Ryan, your line of life.
Ryan Zimmerman: Thank you. Good afternoon, Sean and Scott.
Sean Browne: Hi, Ryan.
Ryan Zimmerman: Hi. So I think you guys are managing your expenses pretty well. I'm curious, Scott, your sales and marketing came in a little lighter than I think we expected. How do you foresee that? I mean, just in the context of what you just said on 2Q, kind of how do you foresee that, kind of through the rest of the year? And just broadly, your commentary on expenses, I think, would be helpful. And I think last quarter, you also said or at least we thought margins - gross margins will come in around 62% to 63%. I just want to see if that still holds?
Scott Neils: Yes. Maybe starting with expenses first. I think starting with sales and marketing since you led with that, I think we'll see that coming back up in Q2 and beyond just, because we're not assuming any commission-free royalty revenue coming in for the remainder of the year. So you'll see that at a level more comparable to Q4, of last year. And then looking at G&A, I think that will run at an expense amount probably more consistent with Q3 of last year. So that will be relatively steady for the remainder of the year. And then, I do think we're on track for gross margins of, say, 63% by the end of the year, as we roll out new products and increase revenue.
Ryan Zimmerman: That's helpful. And appreciating that you guys got the production in-house now. I'm just wondering, if number one, if there's any upside from margins as you kind of work through some of that in-house production, where do you see opportunity, I guess, given that you now are completely vertically integrated?
Sean Browne: Scott, I'll jump in here first, and then I'll let you dive in there. So two big things that we're going to see margin improvement by bringing things in-house. First and foremost, we're going to run through the inventory that we have of the product that we've purchased, especially on the growth factor side of things. Secondarily, also on FibreX, because FibreX is a product line that we've already - we've been buying. But that is one now that we bring in-house, again, is going to be substantially better margins. So those are two big things that are going to take place. So that's part of the reason why you'll start to see more of a ramp, over the course of the year as our margins start to climb. Another big reason, why you'll start to see our margin also begin to climb. So if you think about our DBM business today, DBM makes up still 60% of our biologics business. So the old OsteoSelect, OsteoSponge, 3Demin. And even when you think about the FibreX that we are buying, those are product lines that we were essentially making and/or selling in the low 50s to mid-50% range. This new, like, for instance, Trivium is one that is an absolutely wonderful product, in million ways. It's a product that also has a much higher price point. It brings almost all of the growth factors that, can be brought together from the human tissue possible, for a demineralized bone. As a matter of fact, it was a - it's really an interesting story is the fact that when you do a CBM donor, or a viable bone matrix donor, you will have fallout. Certain donors won't clear, whatever classifications, or the things that we need to do, when we go through our testing of things. And so, what we are doing instead of discarding that tissue, we're actually finding a new way to repurpose it. And that's essentially what we got here. And so, we were able to basically reprocess this tissue, sterilize it, bring all the wonderful elements of - really a CBM donor, along with other elements of the tissue that's been donated, and how we process it. And so it's a much, much higher priced product, and it's very, very effective. And so if we can even start shifting, some of that 60% towards Trivium, that too will also help improve our margins, not only in 2025, but in '26 and beyond. Scott, is there more you want to add to that?
Scott Neils: Yes. The only thing I'll add to that is, as we get into Q3 and Q4, we'll also have brought in-house our distribution of legacy, or Surgalign product. So we'll move out of our third-party logistics provider, and do that service internally create an additional margin benefit.
Ryan Zimmerman: Thank you.
Operator: Thank you very much. Well, we have reached the end of our question-and-answer session. I will now hand back over to Sean for any closing remarks.
Sean Browne: Great. Thank you, operator. Xtant's mission is to honor the gift of donation, so that our patients can live as full and complete a life as possible. I'd like to thank our hard-working Xtant team members, who live by this mission daily. I would also like to thank the many donor families, who in their most difficult hour decide to do the most selfless thing imaginable, and allow their loved ones tissue to be used to help dramatically improve the lives of those in need. And then lastly, I'd like to thank all of you listening who have invested in our mission and have supported our vision over time. Thank you, and have a good day.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time, and have a wonderful rest of the day. We thank you for your participation.